Operator: Good day, and welcome to Outbrain Incorporated Third Quarter 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. Question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I'd like to turn the call over to Outbrain's Investor Relations. Please go ahead.
Unidentified Company Representative: Good morning, and thank you for joining us on today's conference call to discuss Outbrain's third quarter 2023 results. Joining me on the call today, we have Outbrain's Co-Founder and Co-CEO, Yaron Galai; Co-CEO, David Kostman; and CFO, Jason Kiviat. During this conference call, management will make forward-looking statements based on current expectations and assumptions. These statements are subject to risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. These risk factors are discussed in detail in our Form 10-K filed for the year ended December 31, 2022, as updated in our Form 10-Q and in subsequent reports filed with the Securities and Exchange Commission. Forward-looking statements speak only as of the call's original date and we do not undertake any duty to update any such statement. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the company's third quarter earnings release for definitional information and reconciliations of non-GAAP measures to the comparable GAAP financial measures. Our earnings release can be found on our investor relations website, investors.outbrain.com, under News and Events. With that, let me turn the call over to David.
David Kostman: Thank you, [Randi] (ph). First, I want to touch on the situation in the Middle East. At Outbrain, we stand with the people of Israel who have been affected by the recent events. Our hearts go to all the people that are impacted by the horrific situation. We all know people that have suffered and we pray and hope for better, peaceful days in the region. I want to take this opportunity to thank so many of you, first and foremost, our employees in Israel and around the globe, for your unwavering commitment, our business partners and our investors and analysts for the outpouring expressions of support. This means a lot to us. From an operational perspective, we have approximately 380 employees in Israel. About 30 have been called to reserve duty. Our offices are located in Netanya, north of Tel Aviv in the center of Israel. The safety and well-being of our employees and their families is our top priority. Since October 7, we have continued to execute on our business priorities and deliver on our commitments to our customers. We do have business continuity plans in place should the situation further escalate. Now, I will turn to our financial results and business trends. We are pleased with the resumption of year-over-year growth in Q3. We grew ex-TAC gross profit by 8% to $56.8 million, within the range of our guidance. Our adjusted EBITDA of $10.3 million exceeded significantly the high-end of our guidance and can be attributed to the top-end growth and to our cost discipline. We also saw improvements in our ex-TAC margin. In terms of current trends, the macro environment, which remains volatile, combined with the ongoing situation in the Middle East, leads us to a more cautious outlook for revenues and ex-TAC gross profit in Q4, as you will hear from Jason. Since early October, we've seen a spike in war-related news pages, which are generally more difficult to monetize, as certain brands have brand safety concerns around these types of pages. We have also experienced some brand budget cuts and delays in launching campaigns, resulting in slower-than-normal seasonal Q4 uptick. Despite these near-term headwinds, going into 2024, we're excited with our differentiated position in the market, which focuses on the premium side of publishers and advertisers. Our platform offers full-funnel results for advertisers at scale on the open web and enables total publisher revenue and audience growth, all leveraging our AI-driven prediction engine. We believe this provides us with a strong foundation for further growth in 2024 and beyond. Let me turn to the advertiser side of our business. Outbrain has traditionally been and continues to be a cost-per-click native advertising customer acquisition platform that uses AI to deliver strong performance on CPA goals across the open web. Yaron will touch on Q3 notable investments in AI and automation capabilities in our core buying platforms, such as the growth in our Codeless Conversion features for our self-serve advertiser base. We continue to innovate to drive return on ad spend and scale for diverse sets of performance advertisers. We are seeing growing adoption of our performance DSP Zemanta with traditional Amplify clients moving budgets to buy more effectively across open web SSPs and not only in the Outbrain marketplace. As a reminder, Zemanta operates on a percent of spend through the platform, and we have seen record levels of spend growth on Zemanta in 2023. On the branding and awareness front, at the start of Q3, we launched Onyx, our new brand building platform that runs video, high-impact display, and niche media ads, leveraging Outbrain's AI to maximize user attention. Since the launch, we have worked with more than 100 brand advertisers. These advertisers include Sephora, Paramount, L'Oréal, Lancôme, Nestlé, and many others. For many of these advertisers, we are demonstrating that we can outperform incumbent vendors through a unique combination of better creatives, running on high attention placement and utilizing smarter technology to drive attention. We continue to consistently deliver above-benchmark results in terms of attention. For example, with our High-Impact Display ads on mobile, we see an average 58% higher attention rate versus the Adelaide benchmark. Also, in our video business, which is a core component of our Onyx offering, we switched our focus from out-stream video to in-stream, pre-roll, leveraging our video intelligence acquisitions. This shift is starting to pay off with higher margins for the video segment. We expect video to be even more strategic for our future growth. Another differentiated element of our offering is the ability to drive both performance and awareness for brands. This makes us one of the very few companies beyond the [indiscernible] that can deliver advertiser objectives across the full-funnel consumer journey. As an example, for many years, AARP has been leveraging our Amplify performance platform to drive objectives like audience development. Now, we have expanded the relationship to encompass branding objectives where Onyx will help them build brand awareness with potential new members. These types of engagements with advertisers get us excited about our strategy to address a larger segment of advertising budget from both new and existing clients. Despite some of the slowdown in brand advertiser business that I referred to, we still expect to close the year as we said before with $10 million to $20 million of Onyx business. Moving to the publisher side. We continue to focus on improving the performance of our premium publisher wins over the last 12 to 18 months. Among our renewals of long-term partnerships in Q3, I want to highlight L'Équipe in France, [indiscernible] in Germany, as well as [Box] (ph) in the U.S., the partner we have been working with exclusively for close to a decade. We are currently engaged in several discussions with large publishers globally, and feel strong momentum driven by several elements of differentiation. One, our focus on having a balanced portfolio of premium global publishers with no single publishers taking up outside demand. Second, the Onyx premium demand. And third, Keystone capabilities and product vision. To sum it up, considering the current macro environment and the situation in the Middle East, we are more cautious about our short-term revenue outlook, but we continue to leverage our cost discipline to drive profitability and cash flow generation. We are pleased with the resumption of year-over-year growth in Q3 and expect further acceleration in 2024, leveraging our strategic investments. With that, I will turn it over to Yaron.
Yaron Galai: Thanks, David. I want to join David's comments and clearly say we stand with the people of Israel and together with our colleagues there, we are committed to overcoming and to continuing the great level of service and product that all Outbrain customers and partners have come to expect. Since our last call, we've added several new Keystone partners, New York Post, The New Republic, Entrepreneur magazine, Publisher Desk, and others. During this last quarter, we started experimenting with an added business model for Keystone where its cost is covered through revenue sharing on publishers' ad slots. We believe that this addition will help us further accelerate Keystone with more publishers. Two updates on the AI front; one algorithmic AI and one generative AI. First, one of our core AI algorithms has been conversion bid strategy, or CBS, which automates for advertisers the optimization of their ad campaigns. When using Outbrain CBS, an advertiser can automatically maximize their conversion or their return on ad spend, which is also known as ROAS. And CBS is based on our homegrown AI algorithm, and a majority of our current advertiser campaigns are running on CBS technology. This last quarter, we've deployed a new technology that upgrades CBS with codeless capability. Using this codeless layer, marketers on Outbrain can now significantly accelerate the pace of deploying new conversion events and further improve their ROAS. This technology marks a significant stride in our dedication to marketing automation combined with self-serve functionality and it will be a foundational layer for more automation capabilities we're planning to build upon this new layer in the coming months. Second, on generative AI. One of the most exciting frontiers for us with generative AI is the automation of ad variety. Ad variety is like algorithm, and the more variety we have in our ad index, the better our algorithms can match each individual ad to each individual person. So, ad variety results in better ad matching, which ultimately leads to higher click-through rate, also known as CTR, and higher RPM. One of the earliest AI capabilities we built almost 10 years ago was for automated image cropping in our ad. So, for example, our technology will auto crop an image to better focus on faces or the areas of interest of an image. This has been a CTR driver for us for many years. Now, we're experimenting in the lab with generative AI capabilities that will also enable the reverse, upscaling images and growing them while filling the new image spaces with automatically-generated content. Another generative AI capability we're experimenting with in the R&D lab is the automatic creation of face variation. An Outbrain advertiser might upload an ad with a photo of one model, and then our technology can automatically offer the identical product image with a variety of, say, 20 different AI-generated model faces. Most of these capabilities are still in R&D lab mode with early testers. We expect these types of capabilities to significantly boost our ad variety, which will improve the appeal of Outbrain ads to more people and ultimately help continue driving our click-through rates. Anecdotally, following all of our recent investments in algorithmic and generative AI, our advertising CTRs in the past couple of months has been among three-year record high. This is especially encouraging in light of the weaker demand environment. As a reminder, our yield is a result of ad pricing times click-through rates. And with that, I'll hand it over to Jason for our financial results.
Jason Kiviat: Thanks, Yaron. As David mentioned, based on our growth and cost discipline, we exceeded our Q3 guidance for adjusted EBITDA and achieved our ex-TAC gross profit guidance. From a demand perspective, the quarter started off relatively strong in July with year-over-year growth, followed by weakening demand trends in August before a partial recovery in the last weeks of the quarter. The early portion of Q4 has shown a flatter pattern than the seasonal lifts we historically see this time of year, which is driven largely by softer demand to start the quarter, as macro and geopolitical uncertainties weigh on ad budgets, as well as the impact of the news cycle on certain advertisers' budget usage, as David mentioned. Revenue in Q3 was approximately $230 million, reflecting a slight increase year-on-year. New media partners in the quarter contributed 5 percentage points or approximately $11 million of revenue growth year-over-year. Net revenue retention of our publishers was 95%, which, while up meaningfully from the last several quarters, reflects a continued headwind and the impact of the demand environment on pricing and yields, which is the primary factor driving retention to be below 100%. As noted in the last few quarters, churn has remained low by our standards, with logo retention of 96% for all partners that generated at least $10,000, and our five largest churns amounted to only 3 combined points of year-over-year headwind in Q3. Ex-TAC gross profit was $56.8 million, an increase of 8% year-over-year, outpacing revenue growth, driven primarily by improved deal performance on certain media partners and the net impact of revenue mix. As noted, our ongoing focus will continue to be on optimizing deal performance. Moving to expenses. Operating expenses decreased approximately 11% year-over-year to $43.8 million in the quarter as we continue to exercise discipline around spending. The largest component of this is compensation-related expenses, which were down approximately $5 million or 14% year-over-year as we have focused on driving efficiencies in our operations. Non-comp expenses were down slightly year-over-year as we continue to exercise prudence. Notably, bad debt expense, though down from H1, remains at elevated levels as compared with our history as the higher number of customers are facing cash flow pressures in this environment. As a result of our cost management and growth of ex-TAC gross profit, displaying the leverage in our model, adjusted EBITDA was approximately $10.3 million in Q3, growing meaningfully year-over-year and exceeding the high-end of the guidance range. We believe there continues to be meaningful room for operating leverage in the future, particularly as we drive more and higher yielding demand through new products like Onyx and our expansion of video, and assuming a return to more favorable macro environment in the future. Moving to liquidity. Free cash flow, which as a reminder, we define as cash from operating activities less CapEx and capitalized software costs, was approximately $2 million in the quarter. While we are pleased to return to positive free cash flow in the quarter, we still see pressures on working capital, particularly around collections with elevated DSO levels remaining from Q2 into Q3. As a result, we ended the quarter with $214 million of cash, cash equivalent, and investments in marketable securities on the balance sheet, and $118 million of long-term convertible debt. In December, the company's Board of Directors authorized a $30 million share repurchase program, incremental to the $30 million program fully executed in 2022. Year-to-date through September 30, we have purchased approximately 2.5 million shares for $12.7 million. We continue to believe it is an attractive way to enhance shareholder value under current market conditions. Now, turning to our outlook. Uncertainty from macro and geopolitical events and the typical back-half-weighted nature of Q4 seasonal uplift are considerations in our decision to present a wider than typical range of guidance for the quarter. In our guidance, we assume the continuation of the softer demand trends we have seen in the first weeks of Q4 and assume that seasonal increases in ad spend will occur at levels below what we've seen historically. With that context, we have provided the following guidance for Q4. We expect ex-TAC gross profit of $59 million to $64 million, and we expect adjusted EBITDA of $13 million to $17 million. Now, I'll turn it back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] First question will be from Shweta Khajuria of Evercore ISI. Please go ahead.
Shweta Khajuria: Thank you for taking my questions. Jason, I have a couple for you please. On the last point that you talked about on the outlook, for the fourth quarter, could you please provide a little bit more color on quantifying the magnitude of the headwind that you are baking in the guidance from macro and Israel? And then, if you are also -- I believe David said you're also account -- still expecting $10 million to $20 million from Onyx. So, how should we think about the tailwinds and headwinds that are accounted for in the fourth quarter guidance? And then, for 2024, without any official guidance, how should we at a high-level think about acceleration and growth rate for 2024 given the exit rate? Thank you.
Jason Kiviat: Hey, Shweta, it's Jason, thanks for the question. So, yes, maybe I'll just give you a little more color on the guidance and what's driving it. So, we're using our normal forecasting process, which is a seasonality-based model and it takes down to day trends what we're seeing in our PMs and pages views and running it out. Supply for us is fairly straightforward. It's locked in. It's long-term. Not very many meaningful changes. Demand remains the harder thing to forecast, especially now as advertisers may be reacting to the macro and geopolitical uncertainties still. So, we're considering the trends that we've seen in the first part of Q4, where we saw an impactful step down in demand, and applying that forward, we project a softer than typical seasonal lift in Q4. And that does also have an impact on ex-TAC margins. So maybe just to give you color to kind of what we saw. So, we did see -- last time we spoke, here three months ago, we saw positive demand trends a couple months in a row in June and July, building strength of demand and yields, which along with a typical Q4 seasonal uplift was the basis of our prior forecast and guidance provided last time. Obviously, we've now factored in what we've seen in October, which is first we saw a softening of demand trends in August versus those July levels with some recovery in September. But then, October started off weaker than expected from a demand perspective relative to what we expected coming out of September. And we saw that toughness increase over the course of the month, really correlating with the onset of the war. Maybe a data point that would help would be, we saw October revenue grow 1% sequentially from September, which is very low. We typically see 6% or more the last -- many years, 6% I think, the last two years and more even before that based on our history. So, several drivers. It's hard to attribute specific amounts to specific things. But maybe just -- we do see certain budgets pause or delay due to the macro and geopolitical uncertainties. It's hard to know if that slow start we saw even before October 7th and the attacks was just delays in advertiser setting budgets, which is something we did see a lot of months this year was that the first week might have been slow, but then the month kind of comes together, or if it was the macro pressures reducing budgets, right? So, hard to know exactly. We also see just headwinds from demand mix as a negative driver. So, some of the higher-yielding segments are being more impacted. Examples, affiliates, out-stream video for us, and a couple of -- our two largest geographies seem to be taking a softer trend, U.S. and Germany than some of the other ones. And as David mentioned, certain brands blocking pages with content related to the war out of brand safety concerns, it is meaningful as it's a significant percentage of our most valuable pages this last month or so. And maybe just a stat on that would be if you look at our top 20 publishers, 25% of their page use related to war-related content following the attacks, and it remains around 15% still. These are not -- we're talking about U.S. and European based, typically higher-yielding pages. So, not all of our supply is news based, but it is a meaningful portion. And obviously the lower RPMs do affect take rates as well. So, hopefully that gives you a little bit more color. And I think you also asked about the Onyx. We do still expect...
David Kostman: Let me take Onyx.
Jason Kiviat: Sure.
David Kostman: I'll take Onyx. Shweta, I think you heard from Jason, I think it's -- I could tell you from looking at my career, I mean, it's a huge level of volatility and uncertainty in the -- I haven't seen before, just generally, which is impacting, what Jason said. On Onyx specifically, we had -- we launched [indiscernible], we had great feedback. We launched more than 100 campaigns at this point. We're seeing both new advertisers advertising. We see cross-sell to existing performance markets that are leveraging Onyx to also drive awareness. So, we're very excited about it. We see the numbers growing significantly month-over-month. I mean, we talked about relatively small numbers. So, it's exciting. So, we stand behind the number even for this year. And looking into '24, generally, we see Onyx and video as significant growth drivers for us as a company to move to become a full-funnel partner on the open web. It's been a big move this year. So, we see the fruits of that effort -- these efforts will bear fruit and result in growth next year. AI that Yaron mentioned also we see significant potential from that. On our performance business, the growth of share of wallet that we see through moving some of our segments and large customers to Zemanta is also an important growth driver for next year. And just growing our publisher relationships with innovation and broadening the strategic value with Keystone. So, these are the growth drivers. We haven't given any guidance for 2024, but overall when we look at all the reports out there, I think the general sort of growth and sort of EBITDA margin levels that we've seen, I think we still believe that we can achieve those. Jason, anything else?
Jason Kiviat: No.
David Kostman: Okay.
Shweta Khajuria: Thank you, David. Thanks, Jason.
Operator: Thank you. Our next question will be from Andrew Boone, JMP Securities. Please go ahead.
Andrew Boone: Thanks so much for taking my questions. I wanted to touch on new publisher revenue. It's slowed to $11 million. I think that's the lowest number you guys have reported as a public company. How are you guys approaching new publisher deals going forward? And how do we think about that -- the process of adding more content?
Jason Kiviat: Sure, I could start. So, obviously, we had pretty big numbers for the last four or five quarters in double digits, and it was 12% growth from new publishers last quarter. There were a lot of large wins. We talked about them last year in 2022. We're obviously focused on the premium side of the market, premium publishers and full-funnel advertisers. Before the 12% and so on for a few quarters, 7% was really our average for a long time. It's not a linear thing now. Obviously, some partners are larger than others, and it's really not something we expected to stay at that level going into H2, as we really focused on calibrating supply and demand, improving the performance on current deals in this demand environment. I think 7% is probably a good average over time to continue to think about that, Andrew.
David Kostman: Andrew, we feel pretty good about sort of competitive position there. I mean, also these deals, they're not linear sometimes. In certain quarters, we have many of these potential new deals. I mentioned in my prepared remarks, we're excited about what is in the pipeline. I think the differentiators of focusing on the premium side of the market are helping us. Onyx is exciting for publishers. Keystone, the vision and the value that it brings also. So, we feel good about that. And I think that number will continue to fluctuate also depending on market situation. When we look at new deals, we look at sort of the total economics of the deal, the impact for advertisers, the margin, but also the total dollar value that we can generate. So, we feel good about competitive position and outlook for new business, but it will fluctuate.
Andrew Boone: I also wanted to ask about MFAs. There's just new concern in the industry that feels like it came up this last quarter in terms of made-for-advertising sites. Is there any impact that you guys are seeing? Or how does that relate back to Outbrain? Thanks so much.
David Kostman: I think that there's been a lot of coverage around this topic. I think the topic has been further clarified. First, just on the general statement, it's very difficult to classify what is an MFA. Many publishers, sort of, their objective is to drive advertising. I think it's difficult to put all of them in one bucket, the different types of MFA. MFAs, I think many of them, generate real value for advertisers, having real people go to content and advertisers reach audiences that they want to reach at an effective cost. So that's generally. For us, specifically, we said previously, [5%] (ph) of our ex-TAC revenues. So, it's not that significant. In terms of driving traffic to MFAs, I think you probably saw the [indiscernible] report, 80% to 90% of the traffic that's driven to them is generated by social and search. So again, we -- as long as they meet our strict content guidelines and all the other requests that come from security and fraud, et cetera, I think there's a great category of advertisers that we have. Generally, our focus as a company has been also on helping and supporting quality journalism, premium journalism around the world so we provide vital revenue to them. So, it's again part of our overall business and combined with our premium publisher business too.
Andrew Boone: Thank you.
Operator: Thank you. And the next question will be from Dan Day, B. Riley FBR. Please go ahead.
Dan Day: Hey, good morning, guys. Thanks for taking the questions. So, I appreciate the update on the algorithm AI bidding strategies there. Just maybe if you have any data points or anything you could share just on the subset of advertisers that you think are using these kind of AI tools better than others? And whether there's been an uplift in spending performance for them? And then, what you need to do to get those that aren't using them to kind of start using these AI tools, and maybe that helps increase spend per advertiser for those? So, any thoughts there would be great. Thanks.
Yaron Galai: Thanks, Daniel. Yaron here. So AI, first, as I mentioned in the comments, splits for us into two big buckets. One is the algorithmic AI, which we've been building in-house for almost a decade now. And the other is the generative AI. The algorithmic AI are technologies that we deploy across the board. So, they apply to all publishers, all advertisers within our system. We don't update on the results there all the time, but we did mention last quarter that for the first half, I think we've seen an increase through those algorithmic AI changes of potential click-through rate of 4%. And I did mention in this call that we've seen in the past couple of months that they've been among the three-year record highs in terms of the CTRs. And that again is attributed a lot to all these AI changes, or technologies that we've deployed. On the couple that I mentioned on the call, those are in lab R&D mode. As I said, we are live with them on a few advertisers. What we're doing with generative AI is really trying to attack ad variety from all directions. So, I mentioned this in a previous call, an advertiser might upload a campaign or even one ad. And through generative AI, through our ChatGPT integrations, we'll expand that and offer them 200 other variations, which they can decide whether to accept and add to the campaign automatically or not. So, those tools were embedding into the product itself. They are available to ultimately to all advertisers, but it's really up to them to choose which ad varieties they want to implement and choose. Many of them have been doing it, especially as it relates to creative and headlines. The newer stuff of image upsizing and all that, that is still available to a limited number of testers.
Dan Day: Okay. Great. Thanks. Just to turn it quickly to gross revenue and take rates, if we look beyond 2023, like I know there were some pressures from minimum guarantee deals that you did on sort of the take rate year-over-year in 2023. As we look to '24 and put our model together, like just to make it easy, if we were to assume gross revenue is flat, is there any reason we'd think that take rate would expand just from whether it's minimum guarantees rolling off or anything other puts and takes there on take rate for '24 relative to '23?
Jason Kiviat: Yeah. So, we don't have a specific number for you or anything like that. Obviously, kind of always when the take rates come up, I mentioned that we focus on ex-TAC dollars and not really the take rate percentage, especially of the total portfolio. But there's certainly obviously as the rates kind of come up these last couple quarters, we've been focused on some of the things we talked about actually when it was coming down in the quarters before that, which are optimizing deal performance and scaling some of our new supply and existing supply to drive higher rates, and we've had some success there. We continue to focus on that. It's one of our -- one of the main things we do, both manually optimizing and AI optimizing, learning the audience of our partners and serving them better. So, the kind of thing that we do feel gets better in time and it typically takes several quarters. But mix is always a factor as well. It could be a positive or negative factor to even a point in a given quarter. So, it's hard to say. Obviously, it depends also on the demand environment and some of the things that we are doing with Onyx and the expansion of video we see as margin lifters going forward as well. So obviously, our goal is to drive it back up.
Dan Day: Understood. Thanks, guys.
Operator: Thank you. [Operator Instructions] Our next question will be from Ygal Arounian of Citigroup. Please go ahead.
Ygal Arounian: Hey, good morning, guys. Hope you are all doing well, and families and employees back in Israel as well. Just maybe on Onyx, if we could expand on that a little bit? Looks to be ramping well. And I know that one specifically is geared more towards brand budgets. And with the impact you're seeing on brand, it feels like maybe you're not seeing it on Onyx, but maybe it's doing better than expected. Just some of the puts and takes around as that launches in the current macro will be helpful to understand.
David Kostman: Hey, Ygal. First, thanks for your kind words. It's David. So, Onyx launched in [indiscernible], as I said. It's been a successful launch. It helped us position the company, Outbrain, in dialogues with the big six hold companies in a very different way where we can broaden the value proposition and really offer a full-funnel offering that we think is quite unique in the open web. So, we work with brands from performance up to consideration and awareness. The formats are different than our traditional native formats. So, it's really focused on primarily video and it ties to the acquisition of video intelligence and pushing us more into in-stream video that is more relevant for Onyx-type campaigns. We have High-Impact Display that relies a lot on our brand studio where we take existing creatives and help the brands work on them to generate better levels of attention and impact from those. Number-wise, when we launched in Q3, I mean, these budgets are normally determined sort of ahead of time. We were relatively, what we think, conservative in our assumptions of the $10 million to $20 million. It was a broad range. We still stand behind that. We feel very comfortable about where we're tracking. It's pipeline, month-over-month growth, it's very strong. Current environment is not very helpful, as Jason mentioned. Part of the impact we see generally on Q4 is brand budgets pulling back from, for example, news-related pages and general macro environment is very volatile. So, we're taking that into account when we talk about the guidance for Q4, but we're very excited about it. When we look at it strategically, it really changes the whole value proposition for us, to our advertisers, our positioning in the market. And it's for us a significant growth driver, Onyx and video, that sort of goes together in 2024.
Ygal Arounian: Thanks, David. That's helpful. And for Jason, given the challenges in the macro, the outlook in terms of EBITDA and profitability essentially unchanged from what it was last quarter. So, I feel like you're maybe tracking ahead there, making a little bit more progress. Can you just give us an update on your thoughts around EBITDA and free cash flow as you kind of work your way through the rest of this year? And how you're expecting even cost management for 2024? Thank you.
Jason Kiviat: Yeah. No, obviously, we've been very focused this year on a lot of what we can control, which is operating more efficiently, more effectively, having a team and just more automation and all of that. And so, we've been improving over the course of the year, even our outlook and actuals on the expenses with driving to positive cash, even in this environment as the goal. We did return to positive cash flow in the quarter and expect to stay positive and grow on it in Q4. Obviously, the headwinds on top-line are limiting to what's going to happen in the short-term there, but we do expect to generate positive cash flow in Q4. And obviously, as we get to 2024, nothing to share now, but that's still the mentality we have as we make our plans for next year, which is generating cash and obviously continuing to run as efficient and effectively as we can.
Ygal Arounian: Great. Thanks a lot, guys.
Operator: Thank you. This concludes our question-and-answer session. I'd like to turn the call back over to management for closing remarks.
Yaron Galai: Thanks, operator. We appreciate your time with us today, and we look forward to updating you again in the next quarter. Until then, we wish our colleagues and friends in Israel speedy end to the war, return of the hostages, and peace to all people in the region. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.